Operator: Good day, and welcome to the AZZ Inc. Quarter Four and Year-End Earnings Conference Call and Webcast. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Sandy Martin, Three Part Advisors. Please go ahead.
Sandy Martin: Thank you, operator. Good morning, and thank you for joining us today to review AZZ's financial results for the fiscal 2024 fourth quarter and full year, which ended February 29, 2024. Joining the call today are Tom Ferguson, President and Chief Financial Executive Officer; Philip Schlom, Chief Financial Officer; and Dave Nark, Senior Vice President of Marketing, Communication and Investor Relations. After today's prepared remarks, we will open the call for questions. Please note the live webcast for today's call, which can be found at www.azz.com/investors- events. Before we begin, I want to remind everyone that our discussion today will include forward-looking statements made under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. By their nature, forward-looking statements are uncertain and outside of the company's control. Except for actual results, our comments containing forward-looking statements may involve risks and uncertainties, some of which are detailed from time to time in documents filed by AZZ with the Securities and Exchange Commission, including the annual report on Form 10-K for the fiscal year. These statements are not guarantees of future performance. Therefore, undue reliance should not be placed upon them. Actual results could differ materially from these expectations. In addition, today's call will discuss non-GAAP financial measures. Non-GAAP financial measures should be considered a supplement to, not a substitute for GAAP measures. We refer you to the reconciliation from GAAP to non-GAAP measures in today's earnings press release. I would now like to turn the call over to Tom Ferguson.
Tom Ferguson: Good morning, and thank you for joining us today. Fiscal 2024 was an exciting and successful year for AZZ, including several important operational and financial achievements. We are proud of our team's hard work and exceptional accomplishments for the fiscal year. Today, I will discuss the fourth quarter and full year highlights. Philip will then cover the detailed financial results, and Dave will cover industry updates. I will conclude by discussing our current outlook before opening the line for questions. Today, AZZ is a pure-play metal coatings company. AZZ leads with North America's number one market position in each of our two business segments, which includes hot dip galvanizing and coil coating solutions. Our large-scale strategic footprint serves a broad diversified customer base, including long-term blue-chip customers and the company also brings over 65 years of trusted expertise. We provide sustainable unrivaled coating solutions supported by proprietary customer-centric technologies. Last year, our teams focused on critical, operational and financial objectives, and I am pleased to report that both segments performed exceptionally well, particularly in the fourth quarter and the full year. Our fiscal year results that ended February 2024 reflect the culmination of near-and longer-term strategic initiatives that generated sales growth, margin enhancements and significant working capital improvements. We're uniquely positioned to serve customers with an expanding competitive moat through extensive technical expertise and solutions-based capabilities, a deep bench of talented leadership, proprietary technologies, and strategically placed facilities across the U.S. and Canada. In fiscal 2024, we significantly reduced the company's debt and took action to strengthen AZZ's balance sheet. Our relentless commitment to operational excellence continues to be the focus of our talented teams and our strong collaborative culture supports our future growth and success. Turning to our results for the fiscal year. we increased total sales by 16.2% to a record $1.54 billion. Metal Coatings full year sales were $656 million, up 3% versus the prior year. And Precoat Metals sales were $881 million, up 28.4% compared to the prior year. Precoat's fiscal 2024 included 52 weeks of sales versus 42 weeks for the prior year. Our full year adjusted EBITDA increased to $334 million, and we generated cash provided by operations of $245 million for the year. We will discuss the uses of cash in a few moments. Finally, adjusted earnings per share grew to $4.53, up almost 35% compared to the previous year's EPS. For the fiscal 2024 fourth quarter, which is usually our weakest due to slower construction activity during the winter months, total sales of $366 million increased by 8.9%, with Metal Coatings up 3.3% and Precoat Metals up 13.4%, entirely from organic expansion. Also for the quarter, we increased adjusted earnings per share by 210% to $0.93 and grew adjusted EBITDA by 29% to $74 million. This led to strong cash flow from operations for the quarter of $64 million. As a result, adjusted EBITDA margins were 28.6% for Metal Coatings and 17.8% for Precoat Metals within our targeted range for each segment. In short, our continued dedication to delivering best-in-class customer service and quality led to increased sales, improved profitability and significant cash flow for the fourth quarter and full year. We also continue to invest in our operational technology platforms in fiscal 2024 as we seek to more deeply integrate our business with our customers. Our Metal Coatings segment has a platform called Digital Galvanizing System, or DGS, so we benefit from our improved productivity and efficiencies and customers have provided faster and more effective communication and better visibility into their projects from beginning to end. For Precoat Metals, customers utilize coil zone. Our proprietary platform, which provides 24/7 access, 365 days a year to real-time inventory, scheduling and other vital information customers utilize to help run their business on a daily basis across Precoat's network of 13 facilities. These innovative platforms and passion for excellent service among our teams position AZZ is a highly differentiated metal coatings provider to customers throughout North America. Our strategic transformation over the past two years has been a catalyst for generating a significantly higher run rate EBITDA and cash flow. As Philip will discuss more in a moment, we continue to strengthen AZZ's balance sheet and allocate capital prudently last year. We have reduced our debt by $115 million over the last year and repriced our term loan or revolver to lower interest costs. We also deployed significant funds to the greenfield aluminum coil coating facility in Washington, Missouri, as part of our organic growth plans. This critical project remains on schedule. We are highly focused on creating long-term value through our sustainable solutions. We believe that by continually investing in our people and relentlessly executing our strategy, we will accelerate AZZ's value creation. We plan to continue scaling our business through organic and inorganic growth and leveraging our highly differentiated value proposition to customers as we create long-term value for our shareholders. With that, I'll turn it over to Philip.
Philip Schlom: Thanks, Tom, and good morning, everybody. As Tom mentioned, we reported fiscal year 2024 fourth quarter sales of $367 million compared to $337 million in last year's fourth quarter. Total sales increased 8.9% over the fourth quarter of last year, with Metal Coatings sales up 3.3% Precoat Metals up 13.4%. Fourth quarter gross profit was $81 million or 22.1% of sales compared with $61.3 million or 18.2% of sales in the prior year fourth quarter. Gross margins improved by 390 basis points as a result of lower zinc costs in the Metal Coatings segment and lower overhead costs in the Precoat Metals segment as performance improved over a year ago period. Also, gross profit benefited from reclassifying intangible asset amortization to our corporate center, partially offset by increased labor and other variable costs. Selling, general and administrative expenses were $38.8 million in the fourth quarter compared with $25.1 million in the prior year fourth quarter. The fourth quarter included $6.8 million in legal accruals related to the resolution of long outstanding commercial disputes. Excluding the fourth quarter legal accruals, SG&A expenses for the fiscal fourth quarter would have been $32 million, 8.7% of sales compared to 7.4% in the prior year fourth quarter. Operating income was $42.3 million or 11.5% of sales, an improvement of 16.8% and 70 basis points from last year's fourth quarter of $36.2 million or 10.8% of sales. Interest expense for the fourth quarter was $24.7 million, compared to $27.1 million in the prior year due to lower outstanding debt and repricing the company's Term Loan B and revolving credit facility late in the year. I will discuss our capital allocation efforts in a moment. Equity and earnings of unconsolidated subsidiaries for the fourth quarter increased to $4.3 million compared to $1.6 million for the same quarter last year. The increase is due to higher minority interest earnings from our 40% ownership in the AVAIL JV as they continue to perform to expectations. Current quarter income tax was $4.1 million, reflecting an effective tax rate of 18.7% in the quarter compared to 34.8% in the prior year fourth quarter, where the rates were much higher due to the impact of the transformative M&A activities during the prior year. Reported net income for the fourth quarter was $17.9 million compared to $7.4 million for the fourth quarter of prior year. Adjusted net income for the fourth quarter was $27.5 million compared to $7.6 million in the prior year, up more than 2.5x over the prior year. Our adjusted diluting -- our adjusted diluted earnings per share of $0.93, as Tom spoke about, compared to $0.30 in the prior year fourth quarter. Since the preferred convertible shares are dilutive in the current quarter to adjusted EPS, the preferred dividends are added back to earnings for the company's adjusted EPS computation. Under a full conversion assumption, the preferred convertible shares weighted average shares outstanding in the quarter are approximately 29.5 million shares. Fourth quarter adjusted EBITDA was $73.9 million or 20.2% of sales compared to $57.2 million or 17% of sales in the last year. The 320 basis point improvement in adjusted EBITDA margin was primarily driven by improved operational efficiencies in our Precoat Metals segment and continued strong earnings by our Metal Coatings segment. For the full fiscal year ending in February, our sales were just over $1.5 billion, up 16.2% over last year. The Precoat results include 52 weeks of sales in the full fiscal year compared to only 42 weeks in the prior. Gross profit increased to $363 million or 23.6% of sales from a year ago, improving 120 basis points over the year ago gross margin on the same operational efficiencies I just spoke about during the fourth quarter. SG&A costs were $141.9 million, 9.2% of sales, on par with the SG&A as a percentage of sales from last year. Operating income was $221.6 million or 14.4% of sales or 130 basis points improved when compared to operating income of 13.1% of sales in the prior year. Reported net income from continuing operations was $101.6 million for the year compared to $66.3 million last year. Adjusted net income was $132.8 million for the year or $4.53 per share compared to $95.2 million or $3.36 per share last fiscal year, a solid 35% EPS improvement year-over-year. Adjusted EBITDA for the year was $333.6 million or 21.7% of sales compared to $267.4 million or 20.2% of sales in the prior fiscal year, which represents an increase in EBITDA dollars of 24.8% compared to the prior fiscal year. If I turn to our financial position and balance sheet now, we generated strong cash flow from operations of $244.5 million and free cash flow of $149.3 million as we executed on several working capital initiatives during the year. Our free cash flow is computed as cash flows from operating activities less capital expenditures. Capital expenditures for the year were $95.1 million, including typical safety, maintenance and gross spending as well as approximately $47.7 million related to the new greenfield aluminum coating plant under construction in Washington, Missouri. Tom will cover the project in a few moments. In fiscal '25, we expect capital expenditures to be approximately $100 million to $120 million, including $50 million to $60 million related to the Washington facility as we complete construction and ready the site for production. We reduced debt during the year by $115 million, exceeding the $75 million to $100 million target we provided as part of our annual guidance. Additionally, with our focus on working capital, and strong overall debt reduction, we exceeded our originally stated leverage goal back in May of '22, by reaching debt leverage -- net leverage ratio of 2.9x, with a target of getting under 3. In addition, during the last year, we successfully repriced our term loan B twice and repriced our $400 million revolving credit facility, repricing the term loan B in August '23 and again in March '24, each time reducing our margin by 50 basis points for a total one percentage point reduction. Additionally, we repriced our revolving credit facility in December 2023, which moved us from SOFR -- fixed SOFR rate of SOFR plus 425 margin to a tiered pricing grid at February '24, with our year-end leverage ratio being below 3, we expect our go-forward revolving credit rate to be margin of SOFR plus 275 or another 25 basis point reduction in margin. In addition, we are pleased to share that S&P Global upgraded our senior secured debt rating from BB- minus 2B from B, a 2-notch increase and Fitch Ratings initiated coverage on the company with a very similar rating, acknowledging the progress we have made since the acquisition of Precoat Metals in May of 2022. Our capital structure provides a strong foundation as we move forward and our liquidity position remains strong with no debt maturities until 2027. We continue to be under a swap agreement that fixes more than half of the variable rate debt. Finally, we paid cash dividends on common and preferred stock totaling $31.4 million for the year. We made no share repurchases during the year since we focus on debt reduction. With that, I'd like to turn the call over to David Nark.
David Nark: Thank you, Philip. Good morning, everyone. Tom began today's discussion by describing AZZ's number one market position in two highly differentiated value-added Metal Coatings segments that provide scale, expertise and customer-centric technology uniquely positioned to serve the North American steel and aluminum markets. Our services provide sustainable, environmentally friendly solutions that extend the life of our customers' products through our specialized coating materials process. Our business is well positioned to benefit from secular growth drivers related to infrastructure and renewables investments, reshoring the U.S. and North American manufacturing as well as important conversions from plastics to aluminum. Looking back at our fiscal fourth quarter, which concluded in February, both segments benefited from unseasonably warmer weather that favorably impacted the construction industry. Regarding our end markets, Metal Coatings was supported by robust transmission and distribution activity and a continued ramp of interstate bridge and highway projects in the quarter. We continue to see beneficial tailwinds associated with critical infrastructure projects closely tied to the AIIJA and CHIPS Acts, which positively impact our results. We are seeing signs of a ramp-up in the cadence of federal funding, as evidenced by the uptick in award announcements by the Department of Energy, Commerce and Transportation. We believe infrastructure monies are flowing in 2024 and that DOT budgets are available in all 50 states. Going forward, we expect an elevated number of projects related to T&D, bridge and highway, data centers and chip plant work in our future quarters. Within T&D, we are encouraged by the U.S. Department of Energy's October announcement of up to $3.5 billion and grid resilience and innovation partnership program investments for 58 projects across 44 states to strengthen electric grid resilience and reliability across America. 16 of these projects specifically relate to grid resilience, which is where hot-dip galvanized steel is commonly used. Within bridge and highway, we are encouraged by the announcement this January of more than $4.9 billion in funding by the Department of Transportation for 37 different infrastructure projects. In the manufacturing sector, the administration announced up to $8.5 billion in direct funding and $11 billion in loans to Intel for the construction of computer chip plants in Arizona, Ohio, New Mexico and Oregon. And as recently as last week, the administration announced up to $6.4 billion in direct funding for Samsung Electronics to develop computer chip manufacturing and a research cluster here in Texas. Samsung's Texas manufacturing cluster will include two factories as well as an R&D facility and packaging facility. The first facility is expected to be operational in 2026, with the second being operational in 2027. Both Intel and Samsung are projects that we either have or are currently actively providing hot-dip galvanizing or coil coating solutions. Lastly, we continue to see a slight rebound from solar and renewables end markets with pockets of regional strength across the United States, where nearly $17 billion in planned investments have been announced so far. The Precoat Metals segment, continued to perform better than the market in the fourth quarter, with growing volumes based on conversion selling and value pricing. Volume gains, a slight market rebound, and favorable mix helped our fourth quarter performance, especially in the construction and appliances categories. Precoat continued to win captive paint lines, and coil coating projects from companies that decided to outsource these services. Although smaller volumes, the container and transportation categories continued to be under some pressure in the quarter, offset by the construction spending increases. Projections for calendar 2024, construction spending call for significant year-over-year improvements, which include public construction projects, private non-residential spending, and higher manufacturing construction, compared to the last year. Non-residential construction continues to perform well, with building strength in manufacturing and agriculture. As you saw from our raised guidance, we remain optimistic about the long-term expectations for manufacturing and reshoring and the transition to pre-painted steel and aluminum. We also see a steady movement from plastics to aluminum in the container category throughout North America. Our Metal Coatings and Precoat Metals teams, continue to make solid progress with incremental market share gains with new customers in both our hot-dip galvanizing and coil coating business. With that, I'd like to turn it back over to Tom.
Tom Ferguson: Thanks, Dave. Fiscal 2024, was a pivotal year for the company. Our AZZ teams continue to drive the strategy forward, by focusing on serving customers well, improving our operations, and prudently deploying cash on high-return projects throughout fiscal 2024. I'm proud of our leaders, who demonstrated both pride and passion, as they drove organic growth and improved operational efficiencies, to further enhance margins while we collectively strengthened the company's financial position. The company generated significant cash from operations, and paid down debt ahead of expectations. We ended the year, with our net debt to trailing EBITDA at 2.92 times, which is a testament to our cash management discipline last year, as well as our ability to grow, adjusted EBITDA by 25% to $334 million. We continue to build trust with our customers as we partner with them, to provide superior quality and service levels. Our business segments provide important, sustainable Metal Coatings solutions that enhance the longevity and appearance of buildings, products, and infrastructure essential to everyday life. We enjoy the fact that our solutions and services are synonymous with sustainability. As Dave mentioned, our business outlook is positive, particularly as we enter the spring and summer months, when construction activity is at its strongest. Our teams are positioned to find new ways to grow market share and benefit from the expected ramp-up of infrastructure spending. Given AZZ's strong market positions in both segments, our broad scale, and our strategic footprint, we believe we are well-positioned for however, the economy shapes up this year. Labor and employee turnover continues to improve from a year ago. Since we are a tolling business, we will remain nimble and adjust inventories of paint and zinc if demand shifts, whether due to our growth initiatives, or other macroeconomic impacts. Our Greenfield aluminum coil coating facility in Missouri, is progressing well and tracking on schedule. Work has shifted to the inside of the building, with the electrical installation underway, and the installation of the coating line in process. Our focus is now turning to our staffing, commissioning, and qualification efforts. It's exciting to think that our hot testing of the coating line will begin in the third quarter, just a few months from now. We raised our guidance a couple weeks ago and are reiterating it today. Our fiscal 2025 guidance is for sales in the $1.525 billion to $1.625 billion range, adjusted EBITDA in the $310 million to $360 million range, and adjusted EPS guidance at $4.50 to $5. Capital expenditures for the current fiscal year, are expected to remain unchanged at $100 million to $120 million, including $50 million to $60 million related to the new Washington, Missouri, plan. The equity and earnings from our minority interest in the AVAIL joint venture, is expected to be $15 million to $18 million this year, and debt reduction is planned in the $60 million to $90 million range. While we will remain focused on paying down debt, we are seeing some small galvanizing acquisition opportunities, beginning to enter the pipeline. Our dedicated teams are operating confidently as we begin the new fiscal year, and I want to thank them for their hard work and accomplishments this past year. We are energized as we find ourselves already halfway through our first quarter and believe we are well positioned to deliver strong results, generate significant cash flow, and maximize shareholder value in fiscal 2025. Now, would the operator please open up the call for questions?
Operator: [Operator Instructions] The first question comes from Lucas Pipes with B. Riley Securities. Please go ahead.
Lucas Pipes: Thank you very much, operator. Good morning, everyone.
Tom Ferguson: Good morning.
Lucas Pipes: My first question - is on the balance sheet. Good job there getting the leverage ratio - to 2.9 times. And I wondered with this, you plan to maybe hold a little bit more cash on the balance sheet and do you think about acquisitions? And if so, where do you see more opportunities on the Precoat side or on the Metal Coatings side? Thank you very much.
Philip Schlom: I can start, Tom, with the balance sheet question. Typically, what we have done is, we operate pretty low cash balances and use excess cash, to reduce the borrowings on the revolver. We have a $400 million revolver with about $355 million in capacity at the end of the year. So the acquisitions Tom was speaking to, we should be able to fund smaller bolt-on, through the revolving credit facility. Tom?
Tom Ferguson: Yes Lucas, I think right now what we are seeing, is there is a couple of potential galvanizing opportunities that have popped up. The kind of bolt-on, one-off sites that our team likes to look at. No idea how active those will be, but we would fund those off of the revolver. And but naturally, we'd expect to have good EBITDAs above our multiple so.
Lucas Pipes: Got it. And when you mention bolt-on, up to what level would you consider EBITDA, or volume would you consider bolt-on? I'm just trying to get a sense for kind of what is - the magnitude?
Tom Ferguson: These are typically in the $10 million $20 million revenue side. So usually, they are going to have, say 3 or 4 - well yes, probably, $3 million or $4 million of EBITDA. We tend to pay roughly six times. So that's what we consider bolt-on. And then our team, we anticipate good, strong first year synergies, often in the 500,000 basis point improvement range.
Lucas Pipes: Very helpful. And for this fiscal year here, how many of those do you think are realistic to tuck-in?
Tom Ferguson: There had not been any last year. Of course, we had taken - the flag down that we were out there in acquisition mode. I think we kind of let folks know that as we have gotten our debt under three times - quicker than we had anticipated, that while we are still going to be focused on paying down debt, funding the facility in Washington and our normal CapEx needs. So, we have just recently kind of let it out that we're interested again. These usually have four to six-month cycle times, from when they become active to when we are able, to do due diligence and close. So maybe one or two. That would be about it.
Lucas Pipes: That's very helpful. And maybe just to round out the conversation on growth, do you think about organic growth? Where would that factor in vis-a-vis some of these bolt-ons you mentioned? Thank you.
Tom Ferguson: Yes, I think we still - our normal organic growth, particularly on the Metal Coatings side, tends to run with GDP. So when we can get a couple of acquisitions, that is going to add another 5% or 6% on a full year run rate basis. On the Precoat side, we've got two things going on. One, we feel volumes are improving as we saw in the fourth quarter. I believe we were up about 9% on volume. So, we are seeing the volumes pick up on the Precoat side, which gives us nice organic growth. And then as we get into next year, finish out this year, get into next calendar year, that is when we will start to have the Washington site coming online. So, let's not provide some additional revenue and EBITDA growth.
Lucas Pipes: Gentlemen, very helpful. I appreciate all the color and continue best of luck.
Tom Ferguson: Thank you.
Philip Schlom: Thanks.
Operator: Our next question comes from John Franzreb with Sidoti & Company. Please go ahead.
John Franzreb: Good morning, guys. And congratulations on another good quarter.
Tom Ferguson: Thanks, John.
John Franzreb: I'd like to start with the revenue profile in the fourth quarter. You suggested there was unusually warm on a seasonal basis. I'm wondering two things. Does that suggest A) that business was pulled from the first quarter into the fourth quarter? And B) if that was the case, does that suggest that maintaining guidance is actually more of a positive thing, because you are able to backfill some of that revenue?
Tom Ferguson: That is a good point, John. I think on the Metal Coatings side, yes, getting an earlier start. It kind of depends on what - yes. So, we did see some of that pull in and stay active. Hopefully, there are some additional projects that come in the pipeline - as we get into summer months and into fall. Then on the Precoat side, the normal ordering cycle, so the construction ramp up. I'm not sure a whole lot pulled in from first quarter, but potentially a little bit in terms of inventory buildup among some of our customers. So yes, we feel like the guidance is solid and as traditionally, we try to be conservative. And then that will continue to update that as the year goes on.
John Franzreb: Fair enough. And you also mentioned in the press release there was market share gains on the Precoat side. Can you talk a little bit about the market share gains, and where you are getting them from?
David Nark: Yes, John. This is Dave. I think, as you look at it, there are a couple of areas in the end markets, where we are seeing some improvement. We believe we are outperforming the market in the Construction segment. Also, in the appliance market, is another area where we are outperforming and seeing, some conversions taking place. So, those are the two main areas I'd point to.
John Franzreb: Okay. And one last question and then I'll get back in the queue. You talked about pricing initiatives on the Metal Coatings side of business benefited the quarter. Can you just go a little bit deeper on that? Is that in response to zinc prices? What is going on in the pricing initiative front on MC?
Tom Ferguson: We've always tried to talk about how we have tried to differentiate our value pricing versus zinc, but it does help. Zinc has been trending up. And so as zinc trends up, that tends to help support our price levels. I also think that, we continue to add services and anywhere from adding more transportation, so that we are able to be more responsive. But that also adds basically just revenue and flow through income and increases our price per hundredweight, if you will. So, I think all those things have - they bode well. We also have improved. We added another spin line late last year. So, we're getting the benefit of that. That tends to be at a higher price per hundredweight. It actually tends to be priced per piece. So, those are all things that have benefited us, and we hope to continue to benefit from, as we go forward this year.
John Franzreb: Great, great. Thanks for the additional color. I'll get back into queue.
Tom Ferguson: Thanks.
Operator: The next question comes from Adam Thalhimer with Thompson Davis. Please go ahead.
Adam Thalhimer: Hi, guys. Congrats on a strong quarter. And Philip, congrats on your retirement.
Philip Schlom: Thank you.
Adam Thalhimer: In Metal Coatings, so your gross margins were up 170 basis points in fiscal '24. Curious how that might trend in fiscal '25, if there is room for more improvement?
Tom Ferguson: I think as - we talk a lot about DGS and the leadership teams, and our playbooks. We believe we are benefiting from that, and we should continue to benefit. And hopefully, hold those margin improvements and continue to benefit, from the various or - tactics that we are using. We feel pretty confident with the team. As long - as volumes hold up, I believe we can drive those margins.
Adam Thalhimer: Okay. And then at Precoat, is this normal seasonality between November and February or sound like you also just had a really good quarter in Precoat in February?
Tom Ferguson: We did. So part of this is yes, it was a lighter winter than normal. But also I think just - we had mentioned last fourth quarter, where we were carrying a lot of customer inventory. And we cleaned that out as we got into the fiscal year. Good, good operating performance by the team in Precoat. And then, so this fourth quarter, I think it was the benefit of kind of normal customer inventory sitting in our facilities, which allows us to drive productivity and efficiency. And then the volume, just we start to get - when volume flows through, those margins tend to pop nicely.
Adam Thalhimer: Okay. And then, do you guys have - like an actual interest expense and tax rate forecast that is embedded in the guidance?
Philip Schlom: We do. I mean, we look at the forward curve on our interest rates. So, just like everybody else out there, we were expecting four to six cuts this year. Then we got out there and were able to reprice here in March '24, which wouldn't have been part of our original forecast.
Tom Ferguson: Well, we don't have cuts factored in.
Philip Schlom: We have the...
Tom Ferguson: Just the forward curve.
Philip Schlom: Just the forward curve.
Tom Ferguson: Not any additional cuts.
Philip Schlom: Not any additional cuts. Then on the tax rate, we have a 21% stat rate. Then we're primarily North America, so call it 3%, 3.5% to 4%. So that's kind of 23.5% to 24% tax rate is what we utilize.
Adam Thalhimer: Okay. I'll turn it over. Thank you.
Tom Ferguson: All right. Thanks, John.
Operator: Our next question comes from Jon Braatz with Kansas City Capital. Please go ahead.
Jon Braatz: Good morning, everyone.
Tom Ferguson: Good morning, Jon.
Philip Schlom: Good morning, Jon.
Jon Braatz: Tom, talk a little bit about Washington, Missouri. As you ramp up, what can you say about maybe startup costs, costs you're absorbing prior to production? And is there a little bit of a drag on margins for this fiscal year?
Tom Ferguson: No, there shouldn't be. I think we've got all that planned - in our budgets for how we're going to ramp up. And naturally, we've got a little bit of contingency in there, too. So, we've got some decisions to make, as the line gets tested out and comes online, whether we actually start producing at the end of the year, or whether we just carry in and meet the normal customer demand that's been committed. So, but in either case, I don't look for that to be a drag. So there should be an opportunity.
Jon Braatz: Okay. And how much of the production is committed at this point?
Tom Ferguson: 75% is contractually committed. And that's kind of - but that is how we've built the model and in fact that ends. So we've got 25% to go sell, although in this case, the customer that made that commitment, actually would have liked to have had 100% of it. So, we've got upside with this customer, which we hope to announce here in the next month or so.
Jon Braatz: Okay.
Tom Ferguson: And then secondly there's - it does give us the opportunity to go chase some other business, which I always like having that ability to do that.
Jon Braatz: At the most, what would you like to see committed by one customer? You're 75% now? I mean, would you be okay, at 85%, 90%?
Tom Ferguson: Yes, I think so. I always hesitate to get that dependent on one customer, but in this case, because it's a seven-year contractual arrangement. I'm less concerned, so to speak. And obviously, with that much business, we do have another plant in St. Louis that does - it's a smaller capability, but we do have another aluminum line well, too, actually. So, we do have that opportunity to pick up business and make sure that we balance it, between both plants.
Jon Braatz: Sure. Okay. Thank you very much.
Tom Ferguson: Sure.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Tom Ferguson, for any closing remarks.
Tom Ferguson: Thank you for your time today. As you can tell, we're excited about our future, and I look forward to updating you, on our first quarter results in just a few months.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.